Operator: Good afternoon and welcome to the Sandy Spring Bancorp, Inc. Fourth Quarter 2015 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Daniel J. Schrider, President and CEO. Please go ahead.
Daniel Schrider: Thank you, Gary and good afternoon everyone. Welcome to our conference call to discuss Sandy Spring Bancorp’s performance for the fourth and final quarter of 2015. This is Dan Schrider speaking and I am joined here today by Phil Mantua, our Chief Financial Officer and Ron Kuykendall, General Counsel for Sandy Spring Bancorp. We really appreciate you joining us today. As always, this call is open to all investors, analyst and the news media and there will be a live webcast of today’s call as well as a replay of the call available at our website beginning later today. We will take your questions after I review some brief highlights. But before we get started, Ron will give the customary Safe Harbor statement. Ron?
Ron Kuykendall: Thank you, Dan and good afternoon ladies and gentlemen. Sandy Spring Bancorp will make forward-looking statements in this webcast that are subject to risks and uncertainties. These forward-looking statements include statements of goals, intentions, earnings and other expectations, estimates of risks and future cost and benefits, assessments of probable loan and lease losses, assessments of market risks and statements of the ability to achieve financial and other goals. These forward-looking statements are subject to significant uncertainties, because they are based upon or affected by management’s estimates and projections of future interest rates, market behavior and other economic conditions, future laws and regulations in a variety of other matters, which by their very nature are subject to significant uncertainties. Because of these uncertainties, Sandy Spring Bancorp’s actual future results may differ materially from those indicated. In addition, the company’s past results of operations do not necessarily indicate its future results.
Daniel Schrider: Thank you, Ron. Today, as usual, we will move to your questions immediately after some brief remarks. Overall, we produced another strong quarter just ended and our results for the full year were very solid. As I said in previous calls, we continue to strive for and achieve balanced results in a highly competitive environment across the Washington, Baltimore and Northern Virginia marketplace. It doesn’t get any tougher than the competitive dynamics we see among the banks around here. So, it is gratifying to be able to prove once again during 2015 that the Sandy Spring community banking business model is working successfully. Here is just a quick rundown of the main highlights from the release we issued earlier this morning with a bit of added color were appropriate. Net income for the fourth quarter of 2015 was $12.8 million or $0.52 per diluted share, up $0.40 compared to the net income of $9.1 million or $0.36 per diluted share for the fourth quarter of 2014. And we reported net income of $11 million or $0.44 per share for the third quarter of 2015, which was up 16% over the linked quarter. This indicates good ongoing momentum as we entered the first quarter of 2016 that could be turbulent from a macroeconomic perspective. That said, as a community bank that remains focused in our geography, we do not have exposure to energy-related segments or international markets. Net income for the year ended December 31, 2015 was $45.4 million or $1.84 per diluted share compared to net income of $38.2 million or $1.52 per diluted share for the prior year. And this is a 19% increase, which we believe is healthy for a strong community bank in our market. Of note, the fourth quarter of the current year includes the recapture of $4.5 million in litigation expenses previously accrued in prior periods due to the settlement of all claims that were subject of an adverse jury verdict that was rendered in 2014. This recapture also provided a unique opportunity to make a $1 million charitable donation to the Sandy Spring Bank Foundation. The mission of this Foundation is to continue our legacy of contributing to the strength and vitality of our communities we serve. Our areas of focus will include affordable housing, at-risk families, health and personal wellness, personal growth and development as well as financial literacy. Our continued strong core performance was driven by higher net interest income. Building on the first three quarters of the year, loan growth continued steadily at a double-digit year-over-year rate. Total loans increased 12% compared to the fourth quarter of last year and we are up 2% compared to the third quarter of 2015. All three major portfolio segments achieved strong growth over the prior year. This was driven primarily by year-over-year growth of 15% in the commercial loan portfolio, a key focus of our corporate strategy. The provision for loan and lease losses for the fourth quarter of 2015 was a charge of $1.9 million compared to a charge of $900,000 for the fourth quarter of 2014 and a charge of $1.7 million for the linked third quarter of 2015. This is obviously consistent with our solid ongoing loan growth and due to prudent management of our reserves. As reported, our net interest margin was at $3.45 for the fourth quarter of 2015 compared to $3.44 for the fourth quarter of ‘14 and $3.43 for the third quarter of ‘15. We are modeling a stable margin in 2016 given continued strong loan growth, the potential for our pricier deposit market and liquidity management given the success of our very lending businesses. On the deposit side, at December 31, 2015 combined non-interest bearing and interest bearing checking account balances, primary driver of our multi-product banking relationships with our clients, increased 3% compared to the balances a year ago. Total deposits and other short-term borrowings that are part of overall funding sources from customers increased 7% compared to a year ago. We are also pleased with the performance of our fee-based businesses in 2015 namely growth in wealth management and mortgage banking related revenue. Our fee-based businesses are not silos. Rather fully integrated lines of business aimed at meeting the needs of our retail and commercial clients. And the result, the deeper relationships, loyal clients, multiple connections within our company and enhancement to our franchise value. On the capital front, at December 31, 2015, the company had a total risk-based capital ratio of $14.25, a common equity Tier 1 risk-based ratio of $12.17, a Tier 1 risk-based capital ratio of $13.13 and a Tier 1 leverage ratio of 10.6%. These numbers continue to be very solid. During the fourth quarter of 2015, the company repurchased 141,518 shares of its common stock at an average price of $26.53 per share as part of our ongoing robust share repurchase program. For the year-to-date, we repurchased 870,450 shares at an average price of $25.99 per share. And we believe this has been a very meaningful component of our capital deployment strategy. With organic growth, our main priority, we continue to seek both bank and fee-based acquisition opportunities. As I have commented previously, those conversations continue and will be aimed at organizations that value our approach to clients and employees, meet our financial objectives and enhance the value of your company. To conclude, our underlying goal is still unchanged. We strive to produce consistent results by growing a diverse stream of revenue driven by creating meaningful lasting remarkable experiences for our clients and our employees. So, that concludes my general comments for today. And we will now move to your questions. So Gary, we can have the first question and we would appreciate it if you would state your name and company affiliation as you come on, so we know with whom we are speaking.
Operator: [Operator Instructions] The first question comes from Catherine Mealor with KBW. Please go ahead.
Catherine Mealor: Thanks. Good afternoon, everyone.
Daniel Schrider: Good afternoon, Catherine.
Phil Mantua: Hi, Catherine.
Catherine Mealor: Hey. So, first question for you, Dan, on the margin. You said in your remarks that you think you can keep the margin stable throughout 2016. What rate scenario are you assuming in that assumption? And do you believe that you can still keep the margin stable even if we are in a scenario where the Fed doesn’t move again this year?
Phil Mantua: Catherine, this is Phil actually here. And so as it relates to the comment Dan made, I think that when we put our plan together for this year, we actually have anticipated that the Fed would move the short-term side of the yield curve two more times throughout the year. And with that, I would suggest that we would believe that we would have at least a stable margin if not some potential expansion of that margin throughout the year on a somewhat modest basis and gradually as those increases might occur now. Given kind of the volatility of everything going on here of late, there is getting to be again less likelihood that those – that any other potential Fed increases might occur. And if that is the scenario looking forward, then I would say that a truly stable margin in the range of where we just reported in the last quarter in that mid 3.40%, 3.44%, 3.45% range is probably the way we would continue to view at. And that would also in both of those kind of scenarios, be predicated on the kind of loan growth we have achieved in the past and are looking forward to as we look ahead, which is again at 10% to 12% on average kind of annual assumption.
Catherine Mealor: Alright, that’s really helpful. Thank you, Phil. And then, on the margin too, with the first move we saw in December, did you see any movement in deposit costs in your markets, was everything staying pretty much as it is?
Daniel Schrider: Yes. Catherine, this is Dan. We do not see any material move as it relates to into the local deposit market. That is a bit of the wildcard as we move through the remainder of the year.
Catherine Mealor: Good. I will hop out of the queue. Thank you very much.
Daniel Schrider: Thanks.
Phil Mantua: Thank you.
Operator: [Operator Instructions] The next question is from Bryce Rowe with Baird. Please go ahead.
Bryce Rowe: Hi, good afternoon.
Daniel Schrider: Hi Bryce.
Phil Mantua: Hi Bryce.
Bryce Rowe: Phil, I was wondering if you could help us on the efficiency or the expense side of things, the fourth quarter saw a bit of an uptick in the salary and employee benefits line, I am curious if there is any kind of non-recurring incentive catch-up in there or do you feel like that’s a pretty good run rate here?
Phil Mantua: Yes. Bryce, you are really right on the point there. And that certainly expected to need to give a little bit color or whatever is related to what happened in the quarter. So, in the salary and benefit area, which was primary part of your focus, there is some incentive comp bonus kind of dollars that are embedded in that number for the quarter, it’s probably about $0.5 million. And we try our best throughout the year to track that as much as we can, so that we don’t get any lumpiness as such. But sometimes, it’s just the way that things true up at year end. And so there is an element of that in there. And so overall when I look at kind of run rate aspect of overall expenses when you take that and the funding of the foundation into consideration, it’s about $1.5 million in overall expenses that I don’t see being a run rate reoccurrence type of item. And so when I do that, do the math on the quarter-to-quarter growth, we really had less than 1% growth in overall normalized expenses from the third quarter to fourth quarter. And it would have a similar impact to the pretax pre-provision number in the quarter-to-quarter basis too, so.
Bryce Rowe: Okay, that’s helpful, Phil. And then wanted to follow-up just from your prepared remarks there again, you talked three you highlighted the competitive marketplace and maybe even the increasingly competitive marketplace, curious kind of about loan pricing, it looks like loan pricing was stable and really has been pretty stable all year, so trying to kind of match those comments up, the competitiveness versus being able to maintain loan pricing that would be helpful to discuss? Thanks.
Daniel Schrider: Yes, good point. We have worked hard to this in ‘15 and continue as move forward to make sure that recognizing our need to improve our earning asset yield, quite frankly within the loan portfolio, realizing that we have got a pretty good portion relative to our peers in the mortgage lending space, the residential mortgage space. So, we have done a great job in maintaining that. But this is a – in this economic environment, that’s kind of a slow growth situation, it is a highly competitive marketplace. And as we get larger and focus both in the small business arena up through middle market, I mean there is a lot of competition for winning new business and that’s really where my remarks were aimed. I think our team is, we positioned our talent and we have great talent to be to able to continue the growth rates that we have seen on the lending front. But that’s not to say, it’s not a competitive environment. And we are – the competitive side of things is both from a pricing standpoint as well as credit structures. And so we are staying disciplined with the things that we want to put in our portfolio, not taking oversized bites at the apple and I would feel really good about our disciplined approach there and as it relates to what we see in the marketplace. I was not – my signaling, I was not signaling that it was becoming more competitive than it has been, it’s just a highly competitive in the bank market.
Bryce Rowe: Yes. Okay, thanks guys
Daniel Schrider: Thanks.
Operator: [Operator Instructions] As we have no further questions, this concludes our question-and-answer session. I would like to turn the conference back over to Daniel Schrider for any closing remarks.
Daniel Schrider: Thank you, Gary. And thank you again everyone for – we really appreciate you spending time with us this afternoon. We would like to receive your feedback, with regard to how this – the effectiveness of this call. You can e-mail any comments to ir@sandyspringbank.com. So thanks and have a great afternoon.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.